Operator: Thank you for standing by. My name is Brent, and I will be your conference facilitator this afternoon. At this time, I would like to welcome everyone to Fortive Corporation's First Quarter 2023 Earnings Results Conference Call. [Operator Instructions]. I would now like to turn the call over to Ms. Elena Rosman, Vice President of our Investor Relations. Ms. Rosman, you may begin your conference.
Elena Rosman: Thank you, Brent, and thank you, everyone, for joining us on today's call. With us today are Jim Lico, our President and Chief Executive Officer; and Chuck McLaughlin, our Senior Vice President and Chief Financial Officer. We present certain non-GAAP measures on today's call. Information required by Regulation G are available on the Investors section of our website at www.fortive.com. Our statements on period-to-period increases or decreases refer to year-over-year comparisons on a continuing operations basis. During the call, we will make forward-looking statements, including statements regarding events or developments that we expect or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and actual results might differ materially from any forward-looking statements that we make today. Information regarding these risk factors is available in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2022. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements. With that, I'd like to turn the call over to Jim Lico.
James Lico: Thanks, Elena. Hello, everyone, and thank you for joining us. I'll begin on Slide 3. We had a strong start to the year, delivering better-than-expected revenues, margins and earnings in the first quarter. At 9% core growth, we're demonstrating strong execution of our strategy, building leading positions across our customers' critical connected workflows. Our ability to deliver strong growth and continued margin expansion is directly tied to our culture of continuous improvement and dedication to the Fortive Business System. As a result, we expanded adjusted gross and operating margins by 80 and 100 basis points, respectively, taking margins to a first quarter record expectations for further merger and expansion this year and into the future. Free cash flow in the quarter reflects our normal seasonality as well as the timing of China collections that pushed into April. Overall, our teams have done an excellent job managing working capital in a more challenging supply chain environment as seen by our outstanding performance in 2022. By harnessing our unique competitive advantages and strong execution capabilities, we are confident in our outlook and are raising and narrowing our full year 2023 guidance. Turning to Slide 4. I wanted to provide an update on what we're seeing and what we expect over the course of 2023. Starting on the left in the current environment, hardware product orders were better than expected, down mid-single digit and backlog was more resilient with a book-to-bill of 1.0 in the first quarter. Our software businesses continue to see good growth benefiting from strong customer value propositions, driving double-digit growth in our SaaS revenue streams. While industry challenges remained in our Healthcare segment due to China, consumables growth in March reaffirmed recovery is underway. We expect momentum to continue and accelerate growth and profitability throughout 2023. Moving to the right-hand side of the slide, we are seeing traction on our new product launches, favorably aligned to secular drivers including Fluke's latest family of solar tools and Tektronix' leading power and electronic test systems, together with continued software strength and recovery in healthcare, we expect to sustain core growth in the second half. Combined with favorable pricing, cost savings and discrete productivity initiatives that span all segments, we expect over 75 basis points of margin expansion in the year. Lastly, we expect robust free cash flow growth again in 2023 which together with our very strong balance sheet, gives us confidence that our attractive M&A funnel will provide opportunities to enhance earnings and cash flow compounding in the future. Turning to Slide 5. We want to take a minute to remind you of all the work we've done to transform our portfolio and create focused segment strategies favorably aligned to a number of strong secular trends, has resulted in a more resilient Fortive with enduring growth and further margin expansion opportunities. As a result, today, we have a stronger collection of businesses with a more diversified end market mix and durable recurring revenue profile that includes leading healthcare and software franchises. Together with our enhanced innovation capabilities, we have focused our portfolio around multiyear megatrends, including automation, digitization, the electrification of everything and improving healthcare trends to name a few, all to reduce the overall cyclicality of our businesses and provide more tailwinds for growth by expanding into new markets. As a result of these megatrends, we see continued growth across our portfolio. including the more durable software and services businesses as well as the nonrecurring portion, given the sizable amount of backlog, some of our product businesses are working through, while continuing to see resilient demand. Finally, our portfolio quality is reinforced by the substantial improvements we've made in gross and operating profit, working capital and free cash flow as a percent of revenue, driven by the rigorous application of the Fortive Business System. Turning to Slide 6. FPS is a powerful mindset that makes continuous improvement a way of life at Fortive to drive deep engagement across our teams and hold them accountable for delivering on high expectations. With Kaizen activity accelerating, we saw significant results across the portfolio, including material improvement in delivery and past due backlog reduction in our hardware products businesses by improving planning and reducing part shortages with the Fortive material system. Board of software system deployment in our SaaS companies, including service channel, a current information is accelerating delivery of software features to customers, driving customer value and resulting in higher renewal rates and pricing gains. Our record gross margins in the first quarter were driven by a significant expansion of Kaizen events in the quarter, approximately double the number the prior year, setting us off for improved performance throughout the year. Turning to Slide 7. Fortive made sustainability a priority since its founding. It is inextricably linked to our company's shared purpose, values and business strategy, which you'll read more about in our upcoming 2023 sustainability report to be published in May. This year's report will further highlight how our commitment to sustainability is grounded in our culture of Kaizen, leveraging the power of FBS innovate products and services that enable more sustainable outcomes.  We'll also hear how our team has strengthened our responsible sourcing initiatives, ensuring robust review of the labor and given rights practices across our supply chain and how our strong and inclusive culture is creating a community where everyone belongs, which is positively reflected in our latest employee engagement and inclusion, diversity and equity performance. In summary, we are accelerating progress towards a more sustainable future for Fortive and our customers as well as the environment and the communities in which we operate. We invite you to review our report next month. I'll now provide more details on each of our 3 segments, beginning with Intelligent Operating Solutions on Slide 8. IOS grew core revenue by 10% as our connected workflow strategy drove better-than-expected performance in the quarter. The segment saw a good growth in all regions with mid-single-digit growth in North America and Western Europe, and mid-40% growth in China, lapping prior year shutdowns. Solid core growth in each workflow and strong FPS driven execution resulted in 300 basis points of operating margin expansion, taking operating margins consistently above 30%.  Looking at our performance drivers by workflow. In Connected Reliability, Fluke core revenues grew by low double digits with mid-single-digit orders growth in the quarter and point of sale remained positive in all regions. Fluke is benefiting from lean portfolio management, driving record revenue attainment and Fluke's new product launches, including the SMFT 1000 solar tester, which are benefiting from strong demand in the energy, renewables and electric vehicle markets. Elsewhere at Fluke, eMaint posted another record quarter with strong double-digit growth. We are seeing accelerated customer adoption of the X5 CMMS system with enhanced connected worker capability also closed the largest deal on record with a strategic enterprise customer. EHS revenues grew by mid-single digit with both Industrial Scientific and Intellect providing solid contributions. Industrial Scientific saw strength across all product lines, including iNET and orders growth outpaced sales driven by new product launches and cross-sell activity. Intelex posted another quarter of strong SaaS growth with low double-digit ARR growth. Moving to facilities and asset life cycle. We had high single-digit growth in the first quarter, driven by high single-digit SaaS revenue growth. Customers continue to shift larger projects to Gordian's job order contracting platform, while the wind down of endo-light programs are occurring, and the business model change and service channel lowered core growth, revenues exceeded expectations in [indiscernible] as customers continue to seek more productive and digitized solutions to optimize their facilities management. For example, a large worldwide retailer is migrating multiple manual processes to the [indiscernible] real estate management platform at Acron and a large enterprise customer is leveraging service channels automation services to save hundreds of thousands of dollars of mismatched invoices. Turning now to Slide 9. Precision Technologies delivered another quarter of strong double-digit core revenue growth or revenues increased 14%, driven by a high single-digit growth in North America, low double-digit growth in Western Europe and high 30% growth in China. PT also delivered 190 basis points of adjusted operating margin expansion with higher volume and strong price realization more than offsetting continued inflation and FX. Some highlights of the quarter included greater than 20% core revenue growth at Tektronix. Orders were better than expected, benefiting from bookings growth and electric vehicle testing programs. This and strong point of sale in all major regions drove double-digit growth across its product businesses in the first quarter, which continued to see good demand for recently introduced entry-level and mainstream stopes.  Sensing Technologies reported low single-digit growth as expected, driven by another quarter of strong price realization across all businesses and continued broad strength of Ultra. Pacific Scientific EMC reported a second consecutive quarter of greater than 20% growth as the business continued to deploy FBS to improve operational performance. Moving now to Slide 10, in Advanced Healthcare Solutions. Core revenues are flat as the improvement in electric procedure volumes outside of China was offset by some supply chain challenges at Fluke Health Solutions and the expected headwinds in China elected procedures and the wind down in Russia. By major region, North America was up slightly, and Western Europe grew mid-single digits, offsetting a high single-digit decline in China. China elected procedures were covered in March, exiting the month at approximately 90% of normalized levels. Our outlook continues to assume that China electric procedures return to normalized levels in the second half of 2023. In the first quarter, AHS adjusted operating margins declined 260 basis points as a result of FX headwinds, supply chain challenges at Fluke Health, lowering contribution margins and higher-than-expected inflation. Some highlights in the quarter include we exited March with stronger ASP consumables growth, reaffirming recovery post COVID is underway with sales outpacing the market in most regions. Double-digit growth at Census was driven by a Censo [indiscernible]. Censis is also seeing strong demand for its AIT productivity platform and continues to drive productivity improvements through the application of FBS tools, which have accelerated the time from bookings to revenue. FHS saw solid demand for equipment orders and dosimetry services despite continued supply chain strengths that stalled equipment shipment.  Lastly, Provation continues to perform very well with another quarter of double-digit growth driven by its Apex SaaS offering. Apex has seen continued high customer demand with substantial Q1 orders and a greater than 3x average revenue uplift from license migrations. Following a strong start to the year, we continue to expect the probations growth will accelerate through 2023 supported by customers looking to further standardize our formation across their health systems. In addition to our remarks on the first quarter performance, we thought it would be helpful to provide more detail on our expectations for the AHS segment for the remainder of this year. The headline is that we expect sequential improvement in both revenue and adjusted operating profit margin as we move through the year. Specifically on revenue, we expect favorable price in addition to the recovery of electric procedures in China resolution of supply chain challenges at Fluke Health Solutions and normal healthcare seasonality to drive higher volumes over the course of the year.  As a result, we expect core growth will go from low single digit in Q2 to mid-single digit in the second half of the year. On margins, in addition to the uplift from higher volumes and favorable price, we see compounding tailwinds from the benefits of the productivity initiatives taking second half margins to approximately 25%. Go-to-market changes in ASP consumables in North America will improve performance and enable closer connection to our customers to better serve their needs, transitioning from a primarily distribution model to direct to the customer. All these actions will have carryover benefits in the years to come, positioning us for accelerated growth and profitability as the general healthcare environment continues to improve. With that, I'll pass it over to Chuck, who will provide more color on our first quarter financials and our 2023 outlook.
Charles McLaughlin: Thanks, Jim, and hello, everyone. I will begin on Slide 11 with a quick recap of our first quarter revenue performance for Fortive. We generated year-over-year core revenue growth of 9%. FX was 230 basis points of headwind to growth. Turning to the geographies. We saw another quarter of strong revenue growth in each of our major regions. North America revenue was up mid-single digits, with growth in all 3 segments. Western Europe revenue grew high single digit with mid-single-digit growth at IOS and AHS and double-digit growth at PT. Asia revenue increased in the 20% range with low 30% growth in China driven by strength in both IOS and PT as we lapped easier prior year comps. Growth in China was partially offset by a high single-digit decline in AHS related to lower electric procedures due to COVID as we expected. Lastly, our high-growth markets together posted strong core growth of almost 20%. Turning to Slide 12. We show operating performance highlights for the first quarter. Adjusted gross margins increased 80 basis points to 58.4%. As Jim mentioned, FBS driven productivity and price realization more than offset inflation, leading to record gross margins in the first quarter, which was complemented by higher volumes. Adjusted operating margins expanded to 100 basis points to 24%, while adjusted earnings per share increased 7% to $0.75, reflecting strong volume conversion, partially offset by higher interest and tax expense. Free cash flow was $150 million. While first quarter is typically our largest free cash flow quarter, receivables were negatively impacted by slower China collections in the quarter, which has since recovered in AHS.  Turning now to the guide on Slide 13. We are raising and narrowing our previous 2023 guidance to reflect outperformance in the first quarter. For the second quarter, we anticipate core revenue growth of 2.5% to 4.5% with an FX headwind of approximately 0.5%. Adjusted operating profit margin is expected to increase 3% to 7% with margins in the range of 24.5% to 25%. Adjusted diluted net earnings per share guidance of $0.78 to $0.82, flat, up 5%, includes higher year-over-year interest and tax expense and free cash flow of approximately $285 million reflects approximately 100% of cash conversion in the quarter. For the full year, we now expect core revenue in the range of 4% to 5.5%, which continues to reflect year-over-year foreign exchange headwind of just under 1 point of revenue. Adjusted operating profit is expected to increase 6% to 10%, with margins in the range of 25% to 25.5%. We are increasing our adjusted diluted net EPS guidance to $3.29, $3.40, which represents an increase of 4% to 8% and includes higher year-over-year interest and tax expense, as previously expected. Free cash flow is expected to be approximately $1.25 billion, representing conversion in the range of 100% to 105% of adjusted net income and 21% free cash flow margin. Turning to Slide 14. We've consistently said that the Fortive [indiscernible] today is delivering a higher and more profitable growth. There is nowhere that this shows up more than in our free cash flow. Between 2019 and today, we have more than doubled our annual free cash flow, and we expect to continue to further enhance our compounding model with over $5 billion of capacity for M&A, enabling us to continue to invest appropriately in our businesses to further position Fortive for long-term value creation. With that, I'll pass it back to Jim to review our upcoming Investor Day and provide some closing comments.
James Lico: Thanks, Chuck. I'll now start to wrap up on Slide 15. Our team is thrilled to be back in New York for our first in-person Investor Day since 2019 to be held on May 25. We are looking forward to highlighting our progress, executing our strategy and the results that has yielded over the last 7 years, building on our strong foundation and enduring principles that underpin our execution capabilities. We will showcase how our businesses have leveraged FBS tools to innovate, take advantage of the secular tailwinds, accelerating progress across our 5 critical customer workflows. This has translated into relevant product innovations helping to solve our customers' toughest safety, quality and productivity challenges and contributing to sustained strong growth for Fortive. In the spirit of setting high expectations, we will set long-term targets. Looking out 3 and 5 years, culminating with the evolution of our strong free cash flow, supporting us ample opportunities to further accelerate our strategy. We are actively fueling our future success by building on the transformation progress and learning that has taken place since our inception, unlocking future value for Fortive.  Wrapping up on Slide 16. The combination of portfolio work we have done and the productivity initiatives we are implementing in the first half of 2023, prepare us for the continuing evolving macro environment and set us up for differentiated performance again in 2024. As you saw in today's press release, we're also continuing to build on our exceptional leadership culture for the Fortive of the future by expanding Tammy Newcombe's responsibilities to include the Advanced Healthcare Solutions segment in addition to our current role as segment leader of Precision Technologies succeeding Pat Murphy, who will retire at the end of the year.  As you heard today, FBS is more robust than ever with powerful new capabilities to bring breakthrough innovations to market for our customers faster and drive enhanced business results. The evidence of this is reflected in our strong financial performance, including our free cash flow, the currency we use to measure our success. These factors culminate in the powerful formula for value creation, enabling Fortive to make a real difference in the world and deliver exceptional value to shareholders. With that, I'll turn it back to Elena.
Elena Rosman: Thanks, Jim. That concludes our formal comments. Brent, we are now ready for questions.
Operator: [Operator Instructions]. Your first question is from the line of Julian Mitchell with Barclays.
Julian Mitchell: Maybe the first one, and sorry to be boring and predictable. But the AHS, you gave us some very good detail on that sequential improvement through the year. I guess a couple of things I just wanted to clarify on it. One was maybe the scale of the productivity savings in the second half? Is it sort of $15 million, $20 million, something like that, that you're getting in the AHS EBIT in the back half? And then just trying to make sure we understand the scale of the importance of China for AHS. Is it about sort of 10% of the business.
Charles McLaughlin: So Julian, I'll take the first part of that. Productivity, we probably expect to do about $10 million in the first half, and that generally has a 6-month payback. So we'll probably see a like amount in the second half there, annualized is going to be a little -- obviously, a little bit bigger.
James Lico: Yes. And on the China aspect, yes, it's about 8% to 10% of the business overall. And as we said in the prepared remarks, maybe a little bit more color there is that we obviously started pretty low in electives in the first part of the quarter in January has got better through the quarter. We exited in around 90. So we'll see a little bit of continued improvement. I think at this point, it's fair to say we sort of see electives as kind of being back to normal going into the second quarter.
Julian Mitchell: That's helpful. And then just switching back to the overall product hardware orders. You said those were down about mid-single digits in the first quarter. Is there any sort of interesting movement as you go sort of month to month? And any clues on how you're thinking about the second quarter. And if we look at the Precision Tech business specifically, and I suppose, Tektronix in it. You've had cautious comments perhaps from some companies who might be peers in recent weeks, have you seen anything shift in the market outlook for Tektronix or product hardware within PT?
James Lico: Yes. First of all, I think, as we said, the quarter orders for the product businesses came in better than expected. Book-to-bill being one was better than we expected. So what we saw in the quarter was pretty consistent through the quarter. Obviously, the numbers from a year-on-year perspective, get a little bit better simply because of the way China affected those businesses last year. But I think when we look at point of sale, Julian, point-of-sale was good throughout the quarter, and it was good on a global basis at Fluke and tech. So we think those things are good and feel really good about sort of the strength. I think maybe the other highlight is that Fluke grew mid-single-digit orders. We said that in the prepared remarks. But I think that's a highlight for sure.  A little bit of maybe that came out of the second quarter, which quite frankly, I think just derisked the second quarter for us. So I think we feel good about that. So we're certainly out there watching for things, but we feel good about the order trajectory right now. But the 2-year stacks are still very strong. And so sometimes, we've got to be a little careful about that. I would say the last thing is that roughly $350 million of excess backlog that we talked about at the beginning of the year, it still remains intact. So that -- we tried to highlight that on one of the slides relative to the backlog protection. So I think on -- at Fluke Industrial, which is kind of our -- typically the canary in the coal mine, things look still pretty good and really still good, and we still maintain the backlog protection that we went into the start of the year.
Operator: Your next question is from the line of Jeff Sprague with Vertical Research Partners.
Jeffrey Sprague: Just back on AHS. I'd just like to deconstruct a little bit more kind of what happened in the quarter. Obviously, it was a very large margin miss. And then just you address it a little bit to Julian's question, but if you think about the climb out into the back half, how much of that is really in your control? You mentioned favorable price. I assume that's kind of in hand the supply chain questions. I just wonder if you could give us a little comfort or confidence that, that, in fact, is resolved and anything else to just give us some visibility on how we get to those numbers in the back half.
Charles McLaughlin: Jeff, I'll take the first part of that. There's 3 main things that happen in health in Q1. You mentioned about Fluke health supply chain, that was a hit. FX strengthening dollar is -- it shows up more here in one of our more global businesses. So that was a part of it. And then also just thinking about the mix effect of lower consumables from China as we had COVID really hit maybe a little harder than we thought there in the first part of Q1. Those 3 things are the main reasons we came in short versus our guide for in the health sake.
James Lico: Yes, Jeff, I would just say, as we move through the year, really, I think 3 things that are definitely in our control. Number 1 is the productivity. Chuck outlined that on Julian's question, I think, is in hand in that regard and that we're -- we've got that. Number 2 is really around price. We've had 3 quarters now of better price. The trajectory and price continues to be good. And so I think in that sense, we're leaning into that and team has done a great job relative to that principally at ASP, by the way, in that one. And then finally, a little bit better growth, as we said, elective's now normalizing here back to back to normal. And so we see that continuing to improve. We mentioned the go-to-market change that we're making at ASP in North America to go more direct, which really, I think, gives us closer to customer care and really I think, really helps us from the standpoint of really making sure that our sterilizers are running actively. So we think those are certainly things that are within our control well after it. I feel good about the team and the work they're doing. So in that sense, it will get better in the second quarter. And then as we said, it will step into the second half with continued improvement. So -- and I think the other thing that gets missed in AHS was the quality of the quarter in Census and probation. Those businesses are obviously 2 of our higher-margin businesses. You combine that with some of the supply chain fixes that we've got in place at Fluke Health, which is really our highest margin business within how those 3 things are going to continue. So you get the help at ASP, like I just described, you get the continued work at some of the other businesses. I think that really bodes well for continued improvement throughout the year.
Jeffrey Sprague: And then totally shifting gears, just PT strategically, right? If I don't know if you're going to end up commenting specifically on NATI, right? But it looks like you were there at or near the alter. You haven't deployed capital there really actually since Danaher bought Tektronix, really, right? and maybe you're on the verge of doing your biggest deal ever by an order of magnitude. So I just wonder if you could frame that up for us what your thinking is or was and maybe the strategic direction of that particular segment in business over time.
James Lico: Yes. We've had a couple of small bolt-ons in both sensing and in tech over the years, and those have been helpful to a lot of the success, quite frankly, that we're seeing as an example. Keathley probably being the biggest capital deployment that we did a number of years ago. And that is really obviously a real success for us at tech. That was a little while ago. Since Fortive, if you will, a couple of small bolt-ons in sensing, but not much. I would say, just relative to the NATI process, we won't comment on that. But I want the interest in that from others, certainly, I think, speaks to the story that we've been telling at Tektronix. And you see it in the quarter, you see it in the back quality of the backlog. It's just the attachment of our innovation capability to some of these secular drivers in auto, EV principally as well as in power. And those are, I think, speaks well to the organic strategy and the investment we've made there tech in particular. So I think it's -- as we look forward, one of the things that I think I'd just remind everyone, we had said we had moved tech from a low single digit through the cycle grower to a mid-single-digit grower through the cycle and I think we feel very good about that to the extent that we can find ways to accelerate the capability throughout PT, we'll continue to look for those things.
Operator: Your next question is from the line of Steve Tusa with JPMorgan.
Charles Tusa: Just on the management shuffling a little bit here. Can you talk about how you came to that decision [indiscernible] a lot of visibility for Tammy. So and there are 2 kind of pretty different businesses. Is that a permanent solution? Or should we expect another step in that evolution?
James Lico: Well, I think it's certainly the solution that we feel really good about. I mean I think our talent development process. And if you go back a lot of years, you'd see us ebb and flow a little bit relative to those jobs as well as the jobs below that and Group President and operating company presidents. Our talent development is in, I think, in really a good place. Every one of our group presidents was internally promoted. 80% of our current operating company presidents were internally promoted. So I think when we really feel good about the structure, it's not just what we have at the segment level, but it's within those group presidents and operating company presidents, and we've, quite frankly, never been stronger in that regard.  It gives us degrees of freedom to do some things throughout the leadership structure. I would also say that when you sort of look at it, it's pretty balanced from an operating profit perspective and from a just contoured market standpoint. So if we look at the split of responsibilities, yes, 2 segments to 1 segment. But when we look at a served market, ILS has half the served market, profitability is pretty close that ebbs and flows with deals. So I think we're in a very good place relative to the structure that we came to. But in part, it's not just the most senior job. It's also the quality of folks that we have across the board. We had all of our presidents in last week for our quarterly leadership summit with them, and I couldn't be more proud of the work they're doing and quite frankly, where we stand relative to the quality of leadership at the operating businesses.
Charles Tusa: And in terms of the portfolio was current, I mean, you guys have done a lot of [indiscernible] over the years. Is there is there a constant [indiscernible] you seem to be have been subtracted, I guess, in the portfolio. But are you, in any way, shape or form still kind of evaluating things there for maybe divestitures or spins or anything like that? I mean I'm thinking really Tektronix, especially in the context of what's just happened here in the last several weeks with Emerson and Nate.
James Lico: Well, I think -- you broke up a little bit, but I think at the end, I think we got it. So I think when we look at the 3 segments we have today, the quality of businesses we have, the execution that's going on, we feel good. So I think, certainly, the Nate process, if you will, ending with Emerson doesn't really change the market structure. We feel good about what we're doing at tech and we'll continue to run the play there that we think is really good. And that's obviously a part of our success right now is the strong execution that we've had at Tektronix over the last several years.
Operator: Your next question is from the line of Scott Davis with Melius Research.
Scott Davis: I know there's just so much you can say about NATI, but it was, I think, as Greg said, kind of a pretty darn big deal versus kind of your history, is there anything that we should be taking away as far as your willingness to make bigger bets? Was this kind of a one-off unique? I know the gross margin structure was pretty attractive. But I think historically, you guys have generally looked at assets coming out of PE or pieces of assets coming out of bigger companies, but not necessarily looked at buying other public companies is really a big part of the M&A strategy. Has that changed at all, Jim and Chuck or is this -- or should we not read too much into this.
James Lico: I think -- and we'll have a real opportunity as well to talk about this in May at the investor conference. But I think the $40 billion roughly of served market that we have today, kind of when we look at the M&A opportunities funnel, if you will, we've always talked about breadth and depth, breadth, meaning all 3 segments, operating companies, ability to accelerate strategy, depth mini size, and you're exactly right. What we've done is the deals sort of in the middle and a few -- some bolt-ons in the lower part of that if you were to think of that as a triangle. So with the bigger deals at the top, and there's fewer of those. So that's always going to be the case. I won't speak specifically to any one company or process in any way, shape or form. But what's not going to -- what never changes is the fact that we're going to continue to scan the landscape for opportunity to accelerate strategy. We're going to be disciplined about what we do.  We're going to look for outstanding financial opportunities to continue to build the portfolio the way we have. And I think our 2022 performance speaks to the quality of that, and I think our first quarter speaks to that. So that's what we're going to continue to do. And I think that when we talk about breadth and depth, that means there's a variety of different kinds of opportunities. But most opportunities are always going to fall in the sort of bolt-on and mid-tier opportunities simply because there's a lot more of them. And we're looking to accelerate strategy in a few different businesses, and that's where those opportunities are.
Scott Davis: Fair enough, Jim. And just to clear something up. What was the Fluke Health supply chain issue? I don't recall hearing an explanation on that.
James Lico: It's one of the things, and maybe more broadly, I think we handled our supply chain challenges. We've said we're kind of down to those sort of one-off issues that occurred through the portfolio. The fact that we did 50% more organic revenue in the quarter speaks to the quality of the teamwork we had around Fortive to deal with those challenges really, really well. But we did get caught on a couple of what we call our quality assurance equipment business in Fluke Biomet, literally 1 component that we were shorted and we'll clean that up in the second quarter. So we feel good about the work we're doing, quite frankly. Supply chain challenges are down to what often is called the golden screw. But there are a few of those, but I think we're doing an outstanding job more broadly when you look at the -- when you not only look at the core growth in the quarter, but also the 80 basis points of gross margin expansion, which I think quite frankly, I think is going to stand up well against most people.
Operator: Your next question is from the line of Andrew Obin with Bank of America.
Andrew Obin: Just a question as I'm sort of looking at the sequential guidance for IOS and PT growth and looking at the comps. Just trying to figure out, it seems there is a step change down. And I apologize if I missed it, but I was just wondering, you also commented that the order book looks good, March looks good. So why this step down? And I was wondering specifically if there was some sort of clearing out of things in the backlog was sort of the golden screw becoming available or is there something else happening? Because you guys certainly don't sound particularly more pessimistic about the macro into the second quarter.
Charles McLaughlin: Andrew, I'll take that. The biggest thing is really what happened last year. It's really the comp. If you remember, Shanghai was shut down at the end of Q1 and a lot of that revenue showed up in Q2. So when you -- if you adjust for that comp actually Q1 and Q2 look pretty similar from what we're doing this year. If you interrogate on the 2-year stacks, you actually start to see some acceleration even into the second half. Yes. So you're right. We think came in on balance better than we expected in Q1, and we're optimistic moving forward.
Andrew Obin: Okay. Got you. But you're sort of saying take a look at a 2-year stack as opposed to 1-year stack.
Charles McLaughlin: I'm also saying look at the first half this year versus the first half last year, there was a lot of revenue missing in Q1 that showed up in Q2. So it's really a tough comp. But if you look at that, you really see that shutdown that happened in the last week of Q1 of last year is really what explains most of what you're talking about.
Andrew Obin: Okay. I'll take it offline. But can I just have a question on probation. Did we hear that right that the SaaS version is 3x revenue uplift and how fast is the SaaS conversion going? And what's the SaaS versus license mix?
James Lico: Yes. We -- you did hear it right, we're at about 3x right now. We would expect the early migrations to be maybe slightly a little bit higher than maybe what the downstream ones. But we're actually ahead of the game on new bookings relative to the SaaS. So that's good. So we're all up, just probation, things are better. We thought '22 was better than expected and we started the year off well. So we are seeing a little bit of extended discussions with customers, I would say. And maybe more broadly, there are certainly in the software world. There's a little bit more funnel activity, things sitting in the funnel a little bit longer just given maybe how typical start of the year, but we still have good confidence in the projections we have for what we have in software. We had a very good ARR quarter, and we feel good more broadly about software in general.
Operator: Your next question is from the line of Joshua Pokrzywinski with Morgan Stanley.
Joshua Pokrzywinski: Just going to dig in a little bit on implied second half for PT, especially with the backlog holding up really well here in the first quarter. It looks like volumes would be kind of flat, maybe even down. Now I know the comp gets a little longer there, but just trying to triangulate the book-to-bill still being good with the basically kind of no growth second half.
James Lico: Yes. It's really about the 2-year stacks. We have really accelerated growth in PT in the second half of last year, Josh. So it's I think we -- as we said, the book-to-bill coming in the quarter is better. So you may say maybe that slightly derisked the second half a little bit. But it really is -- we will see a little bit more growth in the second half in PT on absolute terms, but it's really the comps. We really see continued -- really continued performance relative to the market going first half to second half for sure.
Joshua Pokrzywinski: Got it. That's helpful. And then just on the order intake. Again, I know you're surprised that the book-to-bill was won in the quarter. But any sort of rightsizing of the order book as lead times start to improve a little bit, customers basically just saying, look, I still want everything, but now that it's not as urgent, was there any kind of air pocket pushout that you see as a function of that?
James Lico: No. I mean I think what we've seen is point of sales remain strong. Some of that, particularly at Tektronix is probably the backlog coming down, but we still have that excess backlog, which is really customer demand, it's not inventory is still very much in demand from customers. So at tech, in particular, we have very little distributor inventory or channel inventory, if you will. So we feel good about the demand being actual demand or the backlog having actual demand to it. So we haven't seen those air pockets yet. And we continue to watch -- we have a watchful eye just given what we see in the macro and those kinds of things. But so far, the demand is real and point of sale stayed strong. And that point of sale stay strong on a global basis.
Operator: Your next question is from the line of Deane Dray with RBC Capital Markets.
Deane Dray: I want to circle back on the Page 5, the concept about backlog protected, and it came up in Julian's question, too, is it was my sense that some of this backlog build, the excess or outside backlog, like Fluke, short cycle wouldn't typically see much in the way of backlog, but you've got it now. To me, that seems it's more transitory, a supply chain heel that will come down -- so how much of this backlog protected would be transitory by definition? Or you just think there's a certain amount that carries through each year on the kind of book and ship over a couple of quarters?
James Lico: Yes, it's a great question. I think number one is, if we take Fluke in the industrial business, we don't have a huge amount of excess backlog in that business. Point-of-sale remains strong. And I think what we're seeing is just continued good execution from the Fluke team. The back -- the sort of backlog protected on that slide is mostly a Tek and in sensing. And in Tek, I think it's we don't anticipate that excess even burning down this year, Deane. So I would say in some respects, we're probably going to run with excess backlog in perpetuity. And I think in both cases, it's really about the secular drivers that exist that we've really tried to build the business around. We're seeing better performance as an example, in Western Europe. And I think that's really because of the sustainability, electric vehicles, the power -- a lot of the grid upgrades, some of those things, those investments are very much happening in Europe, and we're taking advantage of those opportunities. So we like the durability, if you will, of the backlog.  Some of it is excess, and that's why we call it that way. And some of it is a little bit of in precision relative to what it will be like long term. But we do see when we interrogate that backlog on a pretty regular basis, we like the durability of it, the resiliency of it pretty because of the secular drivers that we listed on the right side of that page. So we think we're in a better position for the year because of the strategic moves we've made over the last few years relative to those secular drivers.
Deane Dray: Great. That was really helpful. And then just as a follow-up, and I might have missed this. Did you comment on carryover pricing benefits and whether you plan any further pricing actions over the near term?
Charles McLaughlin: Yes, Deane, this is Chuck. We had about 4.5% price in Q1. Much of that is carryover. But we continue to be active at we still got inflation coming out. So maybe it won't be as high, I would expect that inflation is going to moderate from the rate set increases from last year, but there's still inflation coming out. And so we'll still be deploying price as we go through the year.
James Lico: The other thing that we continue to see opportunity for is the FBS tools related to price. We still see even the price that we put into the marketplace, still opportunities to realize that price at a higher rate, Deane. So we're going to continue to do the things Chuck just described. And as we mentioned earlier, health will continue to improve price, which we feel good about so. But it's also the realization. And I think this is -- we've always had good realization, as you know, knowing us for a long time. But I think our ability to continue to do that and apply FBS to that is something that we'll continue to do throughout the year, even in places where maybe we don't put as much into the marketplace, we're going to continue to work on the price realization.
Operator: Your next question is from the line of Nigel Coe with Wolfe Research.
Nigel Coe: So I want to go back to Tammy taken leadership at AHS. Jim, are you looking for a change in the way that HS is management. I have no idea what that means, it's bono question, but if you think about accelerating growth or improving the consistency of the margin performance, supply chain, et cetera, are there things that Tammy can bring to bear from the time running Tektronix that can actually improve AHS.
James Lico: Yes. I think any time we get a new leadership into a role like that, Nigel, we see a new set of eyes and that always is a good thing. When we hired Olumide a few years ago, I think we got a new set of eyes on IOS, and you're seeing that quality of performance play out in IOS right now. He's brought some new skill sets to the role has done some things over the last year that you've had health that are definitely sticking and Tammy will bring the same thing. That's the expectation. And I think we benefit from sometimes those new perspectives.
Nigel Coe: Okay. And then just going back to the whole kind of Nate situation. If you think about what Nate might have given you, if you had bought that business, are there things you can do organically to accomplish those things maybe on a longer-term basis. But you've done -- obviously, you've done a good job of extending the kind of the vertical markets that [indiscernible] time. But other things you can do to extend down into the more the validation and maybe the production phases of your customers -- or the other bolt-ons you can do, yes.
James Lico: I would say, regardless of the process, our strategic thinking around tech has been very focused on the secular drivers, not to bear too much repeating on that. But it's been around changing the vertical focus, as you know, well, and that's played out. And some of that has been innovation efforts that we would certainly look to add to if opportunities become available. So we would never say never to -- but that doesn't really change anything that relative to what's been going on in the external environment. That's why we do strategic plans every year. That's why we really kind of come with a different emphasis every year. And we feel good about the strategy at tech and to the extent that we've got bolt-on opportunities there as well as any of the other businesses that we have, we're always going to be looking at those opportunities to accelerate strategy into the markets. As an example, we would power is a good example. We would love to do more in power. If we found an M&A opportunity that is that, we would certainly look at it. [indiscernible] is a good example, although it was a few years ago. It's really extended our ability to do some things relative to power and we're bearing the benefits of the fruits of that work today.
Operator: Your next question is from the line of Andy Kaplowitz with Citigroup.
Andrew Kaplowitz: Jim, can you talk a little bit more about what you're seeing by region? I know you mentioned you expect China to slow a bit, but it's continued to be really strong for Fortive. I think -- last quarter, you said Western Europe might grow a little more slowly, but you just mentioned some secular trends holding up well in Europe. So you would you say these trends are proving more durable than you originally thought? And do you see an extended CapEx cycle in the U.S. from trends such as electrification and onshoring?
James Lico: Yes. It's -- I definitely think China will slow. We've had so many good years of China. And obviously, we just posted a 30% kind of quarter. It was probably going to stand up pretty well. So I think in ad sense, we got -- we'll digest some of that growth here through the year. But I would expect China to slow in the second half a little bit, particularly because of the tough as well as tough comps. It's part of that tougher comp conversation we had relative to the segments. I think Western Europe is holding up for the reasons I said. Broader Europe has slowed a little bit. And so that's in the context of everything that we've got in the guide is the expectation that probably Central and Eastern Europe is a little slower. Some of that having to do with the war. Some of it obviously has to do with us getting out of Russia. But it's also just a little bit of slowing. But the Western European investment in a few countries has held up pretty well. I still expect North America to be a good region for us, partly because our software and a lot of our durability is in North America. I think when we -- it's probably still too early to tell to be very specific. But my expectation probably when we get to the end of the year is that North America probably is the most durable of all the regions.
Andrew Kaplowitz: Helpful Jim and I wanted to ask an AHS question maybe in a different way. You mentioned China letter procedures at 90% in March. Maybe a little bit faster improvement from where you started the quarter and you did mention overall consumables better in March. I know Invetech is still somewhat weak, which I think is still somewhat difficult comparisons versus during the pandemic. But do you think by the second half of '23 that maybe normalization from the pandemic actually happens, whether it's improved staff in at your customers, better consumables for you or improve [indiscernible] just the market around you change.
James Lico: Yes, we do. I mean we even saw some green shoots in March, quite frankly, in the U.S. consumables as an example, which had good growth. So Yes, we think the -- you're exactly right. We think the second -- it's going to start to get a little weird still comparing to 2019 here by the time. So I think as we get into the second half, I think we'd probably say our bet right now is it's normalized. There'll still be labor shortages. If you recall back in our start of the year call, we said, "Hey, we thought '23 would be better than '22. '24 would be better than '23." And I think some of that continues. That's going to continue through the year and our self-help is going to get better as well. as I said earlier in the call. So I think the combination of things getting a little better in the marketplace as well as our self-help start to see the traction of that. I'm confident we'll start to see the benefits of those things playing out in the second quarter and then into the second half.
Operator: Your final question comes from the line of Joe Giordano with Cowen.
Joseph Giordano: So on the pie chart that you have for revenue where you have like the backlog protected that Deane was referencing earlier. Just curious like the biggest piece of that is recurring ex software. Just like if we go into like a more like a real recession, how recurring is that business in a good time versus how recurring is it in a bad time is there slippage as customers get tighter with their wallet?
James Lico: I think it holds up pretty well. I think, number one, there's a couple of big pieces in there, right? Consumables at ASP is a big piece. iNet our EMC businesses in there, which is long-term contracts. So we've got a number of -- and of course, broadly defined services, so though it should hold up well. And we feel good about -- it held up very well in the first quarter as an example with really good growth. So you combine that with software and then even the healthcare hardware. We've got a good portion of the portfolio that we think is really resilient. You combine that with roughly 25% of our hardware nonrecurring, which is backlog protected, we feel pretty good. And as I mentioned earlier, the secular drivers in the entire product side also provide some -- another good insurance policy here. So we're -- we've really run the playbook that we've talked about so many times. We're prepared for a number of scenarios. We took some restructuring earlier productivity initiatives earlier in the year, as you know. We've upped that as well. So we feel like we're building scenarios around what could happen. It's hard to predict the future. But the portfolio was developed many -- over the years, in most cases, to deal with a lot of these challenges, and we think we're well prepared for.
Joseph Giordano: Fair enough. And then just to follow up on the discussion about the cyclical businesses. And so like IOS and PT, both came in quarter ahead pretty solidly ahead of what you suggested in your guidance for 1Q and the full year guidance on the growth side are pretty much the same, a little bit bump in one, but pretty much the same. Now how should we think about that? Is it kind of lower view of the second half? Or like you mentioned the backlog is totally high. So just curious how we should interpret that.
James Lico: Yes. I think the first half doesn't change all that much. Chuck kind of talked about that a little bit. But I think you think about derisking the second half. It's a little bit of derisking. And if things continue to play out as positive as they have, there might be some opportunity. But I think right now, let's see how things play out. But as we said on a 2-year stack, the hardware business, the product businesses do get a little bit better given the tougher comps in the second half. But where we stand today, I think we -- I think most people would be envious of the start that we had for the year, and we feel good about that.
Operator: There are no further questions at this time. I will turn the call back over to Mr. Jim Lico.
James Lico: Thanks, Brent, and thanks, everyone, for taking the time today. We know it's a busy schedule for all of you. We appreciate the questions. We certainly appreciate the interest. I hope from the words from Chuck and I, you heard as well as the prepared remarks, and hopefully, the presentation was helpful was helpful as well. We're off to a good start. We feel good about it. There is certainly some uncertainty out there in a number of ways. We feel well prepared for it. We'll look forward to the follow-up questions, I can give you more color on that to the extent we can be helpful. We're really looking forward to sharing our story more longer term at our investor conference. We think it's an opportunity for us to really demonstrate a lot of the things we've talked about today relative to how that plays out, the strength of -- in addition to not only the strength of the financials, but also the strength of the strategy, which really continues to help us. We had a great 2022. We think it's also going to help us post a good '23. We look forward to seeing you soon. Thanks, everyone. Take care.
Operator: Ladies and gentlemen, thank you for participating. This concludes today's conference call. You may now disconnect.